Operator: Good afternoon. My name is Shamaley, and I will be your conference operator today. At this time, I would like to welcome everyone to the Olo Fourth Quarter 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Olo's Vice President of Investor Relations, Ms. Stephanie Daukus. Please go ahead.
Stephanie Daukus: Thank you. Good afternoon, everyone, and welcome to Olo's fourth quarter 2022 earnings conference call. Joining me today are Noah Glass, Olo's Founder and CEO; and Peter Benevides, Olo's CFO. During our call today, some of our discussions and responses to your questions may contain forward-looking statements, which represent our beliefs and assumptions only as of the date such statements are made. These forward-looking statements include, but are not limited to, statements regarding our expectations of our business, future financial results, including gross margin, operating margin, operating income and operating expense leverage, total addressable market and growth opportunity, including with respect to revenue growth and the allocation of such incremental revenue growth, Olo Pay growth and the growth in locations, guidance and strategy, restaurant order processing trends, ability to increase usage of our platform, including by adding new locations, and upsell, including with respect to our opportunity to expand and our growth in average revenue per unit, and the durability of customer adoption of multiple modules. Forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in our forward-looking statements, and such risks are described in our earnings press release and our risk factors included in our SEC filings, including our Annual Report on Form 10-K that will be filed following this call and our other SEC filings. You should not rely on our forward-looking statements as predictions of future events. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today. Also, during this call, we'll present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short while ago. This earnings release is available on the Investor Relations page of our website and is included as an exhibit in the Form 8-K furnished to the SEC. Finally, in terms of our prepared remarks or in response to your questions, we may offer incremental metrics. Please be advised that this additional detail may be one time in nature. We may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investors.olo.com to access our earnings release, investor presentation, periodic SEC reports, a webcast replay of today's call, or to learn more about Olo. With that, let me turn the call over to Noah.
Noah Glass: Thank you, Stephanie. Hi everyone. Thank you for spending time with us today. In 2022, Olo increasingly became the platform that restaurant brands rely on to make their digital priorities a reality, with the Olo platform supporting approximately 87,000 restaurants and more than 600 brands, connecting them to more than 300 technology partners and more than 85 million guests, who transacted over the Olo platform and processing on average more than 2 million orders per day. In 2022, we grew annual revenues by 24%, expanded ARPU by 8% to just under $2,200 per year, surpassed $23 billion in gross merchandise volume for the year, and processed more than $250 million in gross payment volume in Olo Pay's first year of general availability on the platform. Olo continued our post-IPO transformation in 2022. Olo Pay had a marquee inaugural year. We broadened our platform's capabilities through the Omnivore acquisition. We brought on Chief Revenue Officer, Diego Panama, to elevate our world-class go-to-market team. And we introduced our refreshed mission to serve as the engine of hospitality. Consistent with this mission, Olo is committed to helping restaurants use technology to provide personalized guest experiences across all touch points, while improving operational efficiency. This will enable brands to elevate the guest experience, drive incremental and repeatable sales and improve profitability. We believe the future of the restaurant industry is guest-centric, empowered by digital solutions, and that Olo is best positioned to realize this vision on behalf of our customers and their guests. Now, more than ever, restaurants recognize the need to invest in technology as a means to better serve their guests and operate their businesses more effectively. Our hard work in 2022, our network of brands, partners and guests, and our comprehensive product suite, all enable Olo to meet the needs of our customers, and we believe we've set the table for great things to come in 2023 and beyond. In the fourth quarter, Olo continued to see success with both new and existing customers across all three product suites that enable restaurants to increase the number of digital orders, better engage their guests by providing best-in-class experiences and tap into digital native pay solution, tailored towards the need of restaurant operators. This quarter, we continued to expand our relationship with existing customers. Bravo Brio Restaurant Group, Buca di Beppo, Eggs Up Grill, Lucille's Smokehouse Bar-B-Que, TGI Fridays and Virtual Dining Concepts deployed Olo Pay, and TooJay's Gourmet Deli deployed Olo Pay as well as our engaged solution. Virtual Dining Concepts, the parents of MrBeast Burger and other virtual brands, adopted Olo Pay at all of its brands, which include more than 3,000 virtual restaurants operating in more than 2,000 restaurant kitchens. This also included LankyBox Kitchen, a family-focused virtual brand launched by Virtual Dining Concepts, which adopted our Ordering, Dispatch, Rails and Olo Pay modules. As part of the deployment, Olo also completed the POS integration project with Chuck E. Cheese. This integration allows Chuck E. Cheese to make LankyBox available at more than 450 locations, more efficiently leverage its operations, as well as increase revenue per square foot. And for those of us with young children, yes, the Virtual Concept is a tie-in with LankyBox, a YouTube channel with millions of subscribers focused on entertaining children. TGI Fridays, a casual dining restaurant with more than 300 locations in the US, continued to invest in its digital presence. Since launching Olo Pay, TGI Fridays has seen positive growth in authorization rates by more than 5% and our data suggests an overall drop in fraud rates of more than 1%. In 2023, TGI Fridays is focused on bolstering its tech stack, improving its custom app and launching a new loyalty structure to enhance its current guest experience, with Olo driving ordering and payments across these properties. All of these customers have added Olo Pay to their existing solutions. And this quarter, we also welcomed Captain D's, a fast casual seafood restaurant with more than 550 locations. Captain D's deployed our Ordering, Dispatch, Rails, Network and Olo Pay modules. This deployment represents our largest Olo Pay customer to-date by locations and continued success in multi-module deployments to new customers. It also reflects our ability to deploy within highly franchised enterprise environments. Olo Pay continues to perform across all key metrics. Fraud prevention and authorization rates are higher than we initially expected and higher than traditional methods. From an adoption perspective, Olo Pay has been broadly deployed across both enterprise and emerging enterprise, across new and existing customers and across service models from names in casual dining to quick service to virtual brands. And as our fastest of 14 modules to get to $1 million of monthly recurring revenue, OloPay is becoming ubiquitous, and we're very excited about the product's future. This quarter we also welcomed new customers such as Kroger and Tender Shack. More on Kroger in a moment. Tender Shack, a Bloomin' Brands' virtual brand with more than 800 locations launched our Rail solution this quarter. Previously, Tender Shack integrated directly with only one of the top three marketplaces. By adopting our Rail solution, the virtual brand can now integrate with all major marketplaces, and easily synchronize menus, pricing, location data and item availability in order to streamline operations through a single integration. As I typically provide an update on product enhancements on this call, I'm excited to announce that we've expanded Borderless identity availability to all Olo Pay customers, including those with custom ordering websites and apps, enabling more brands access to increase revenue potential and actionable guest data. Borderless capabilities simplify the checkout process for guests by eliminating the need to create or remember a password or manually enter credit card information at every purchase. In addition to helping restaurants meaningfully increase basket conversion, guest retention and visit frequency, Borderless enhances the guest experience and deanonymizes transactions by linking them to guest profiles, enhanced QR code ordering, furthering our on-premise dining offerings and integrated geolocation partner notifications, which automate arrival notification for brands utilizing our Expo interface, eliminating the need for multiple tablets and ensuring food is prepared and handed off efficiently and on-time, resulting in fresh food for guests. While we typically broadcast our product release events, this quarter we have decided to present these enhancements live at Beyond4, our annual customer conference which will be held in Napa, California next week. For those not in attendance, you can view demos and further details of our winter product release events at olo.com/quarterly-release. Olo is constantly innovating and enhancing our platform, ensuring all restaurant locations are always able to use the latest technology to their advantage. We continually release updates to products and enable new use cases that didn't exist before. And our customers look forward to our quarterly product updates, where we demonstrate these improvements, as well as the extensibility of the Olo platform. In prior quarters, I've discussed how we leveraged our ordering module to enable virtual brands for restaurants. And more recently, our products have moved into new verticals, such as convenience stores. In the fourth quarter, we were able to develop a new product use case with Expo, our tablet-based software solution that's part of the ordering module, focused on enhancing the preparation and hand-off workflow, this time for the grocery industry. Kroger deployed approximately 1,600 locations, bringing sushi and floral delivery to guests nationwide. This is just one example of how the Company is deploying it's accelerating with digital strategy to position Kroger for long-term sustainable growth. For Olo, enabling guests to purchase prepared foods and flowers from multi-unit grocery stores represents an emerging vertical, expanding Olo's total addressable location count by almost 30,000 locations, representing more than $37 billion in annual foodservice sales. Before I speak about our corporate strategy and our outlook for 2023, I'd like to recognize Team Olo. Olo earned Best Customer Data Platform from Digiday in recognition of our platform's ability to deliver personalized marketing messages, better guest experiences across channels in restaurants and digital, and better understand guest preferences. I believe this demonstrates that our strategic investments in guest data are already paying off. As we look ahead to the new year, I'm energized to build on our strong foundation. We have a robust product portfolio. We are further empowering our go-to-market organization. We remain profitable on a non-GAAP basis and are growing revenue at a strong rate. As I mentioned earlier, we believe that the future of the restaurant industry is guest-centric. It's important for restaurants to build better relationships with their guests in order to increase guest lifetime value, retain existing guests, attract new guests more easily and drive revenue and profit. And part of the reason Olo is well positioned is that everything we do is tied back to a knowledge of the guests. A co-product of the secular shift from analog to digital is the de-anonymization of transactional data, enabling the Olo platform to tie every transaction back to a guest profile. This enables more personalized experiences going forward and gives the brand a fresh understanding of guests' lifetime value, the new North Star metric for running a restaurant. This guest centricity is what Olo is uniquely positioned to do and what traditional players are unable to do and have not done as a result. Olo is more than a commerce platform. Olo is a data platform, a two-sided network and conduit between 87,000 restaurants and 85 million guests. And this year, we'll continue to be laser-focused on our mission and key investments, in order to drive long-term growth and value to restaurant brands and shareholders alike. These investments will be directed toward payments, on-premise experiences, guest engagement and continuing to empower our go-to-market organization. Historically, the Olo platform has predominantly focused on pickup and delivery, categories that represent roughly 29% and 8% of overall restaurant transactions, respectively. Over the past year, we've moved into drive-thru and on-premise, categories that represent roughly 38% and 24% of overall restaurant transactions, respectively, more than doubling our serviceable footprint. Currently nearly 100% of drive-thru and on-premise transactions are analog. And as Olo moves into both on- and off-premise as a focus, we have a great opportunity for Olo to unlock the path to digitize 100% of transactions, as restaurant look to better serve guests and do more with less. In order to capitalize on this opportunity, we expect to make additional investments in payments and on-premise experiences, which will enable us to drive operational efficiencies for our customers, increase guest satisfaction, as well as enable Olo to capture more transactions and drive revenue growth. And as an extension of this, we expect to invest in our engagement solutions to enable hospitality that makes every guest feel like a regular. We'll also invest in capacity and yield management to create a more integrated technology experience for our customers. I spoke about this briefly on the prior call. To remind you, expanding these offerings vertically throughout the restaurant value chain will capture and leverage crucial data from both on- and off-premise transactions, increasing the efficiency of the kitchen and improving the guest experience. This allows Olo to be the brains of the restaurant operation, the orchestration layer of production, which further solidifies the mission criticality of the Olo platform. In short, our platform will provide a full-integrated technology experience with capacity and yield management capabilities that will enable restaurants to use one vendor for all of their needs, focused on enabling the restaurant kitchen to become as productive as possible and as profitable as possible. And as we build out these capabilities, we expect to further invest in and empower our sales and marketing organization, while maintaining sales efficiency. All of these investments will propel Olo into the great opportunity ahead, one in which we are uniquely positioned to increase restaurants' digital penetration from 15% to 100%. Leading restaurant brands know that digital capabilities will give them the ability to do more with less, intimately know and better serve their guests and operate as one unified business. I am more confident than ever that we're on the right path, and I'll be delighted to share our successes along the way. And with that, I'll hand it over to Peter to discuss more detailed results. Peter?
Peter Benevides: Thanks, Noah. Today, I'll review our fourth quarter results as well as provide guidance for the first quarter and the full year 2023. In the fourth quarter, total revenue was $49.8 million, an increase of 25% year-over-year. Platform revenue in the fourth quarter was $48.9 million, an increase of 26% year-over-year. And Olo Pay continues to exceed our expectations, contributing just over $3 million in revenue for the quarter and surpassing $6 million in total revenue for the year. In terms of key metrics, ARPU for the fourth quarter was approximately $571, representing a 13% increase year-over-year and a 2% increase sequentially. Continued growth in ARPU was driven by further expansion within our existing customer base, including continued adoption of our engage and pay suite. In terms of active locations, we ended the quarter with approximately 87,000 active locations on the platform, a 10% increase year-over-year and a 4% increase sequentially. And lastly, net revenue retention was approximately 108%, up 100 basis points sequentially. For the remainder of the financial metrics disclosed, unless otherwise noted, I will be referencing non-GAAP financial measures. Gross profit in the fourth quarter was $37.3 million. This compares to $32.6 million a year ago. The year-over-year increase in gross profit was driven by continued growth in revenue, partially offset by increased compensation cost to support new locations coming onto the platform and, to a lesser extent, processing costs associated with Olo Pay. Sales and marketing expense for the fourth quarter was $6.9 million or 14% of total revenue. This compares to $4.6 million and 11% a year ago. Over the past year, we have invested additional resources in our go-to-market team to fully capitalize on the growth opportunity from our significantly expanded product portfolio. Research and development expense for the fourth quarter was $15.8 million or 32% of total revenue, compared to $12.8 million or 32% of total revenue a year ago. On a dollar basis, we increased investments in R&D in order to unlock future growth opportunities related to Olo Pay, Borderless capability and on-premise ordering. General and administrative expense for the fourth quarter was $11.5 million or 23% of total revenue. This compares to $10 million and 25% a year ago. The year-over-year percentage decrease represents continued optimization of expenses as our organization continues to scale. Operating income in the fourth quarter was $3.1 million compared to $5.2 million a year ago. Net income in the fourth quarter was $5.6 million or $0.03 per share based on approximately 180 million fully diluted weighted average shares outstanding. Turning our attention to the balance sheet and cash flow statement. Our cash, cash equivalent and short- and long-term investments totaled $451.2 million as of December 31, 2022. Pursuant to the share repurchase program, which we announced in September 2022, in the fourth quarter, we repurchased 2.7 million shares for a total of approximately $20.1 million. Regarding cash flows, net cash used in operating activities was roughly zero in the quarter as compared to $10 million used a year ago. Free cash flow was negative $1.6 million, compared to negative $10.6 million a year ago. I'll wrap-up by providing our guidance for the first quarter and full year 2023. For the first quarter of 2023, we expect revenue in the range of $50.5 million and $51 million, and non-GAAP operating income in the range of $600,000 and $1 million. For the fiscal year 2023, we expect revenue in the range of $213 million and $215 million, and non-GAAP operating income in the range of $11.4 million and $13 million. When preparing our financial projections for 2023, we took a prudent approach. While the restaurant industry has seen some recent improvements in cost pressure and labor and digital ordering has remained durable, our approach was to balance these favorable trends and desired long-term investments against the backdrop of ongoing macroeconomic uncertainty. From a revenue perspective, a few things to call out. First, our guidance assumes approximately two-thirds of incremental revenue growth will be driven by existing projects currently in deployment, with one-third of incremental revenue growth driven by in-year bookings and deployment. This mix has historically had a larger weighting to in-year bookings. And by emphasizing a larger share of revenue contribution from existing projects and deployment, we believe this to be a more cautious approach to planning for the year ahead. Secondly, given our visibility into projects currently in deployment and a healthy sales pipeline, we expect revenue growth to re-accelerate in the second half of 2023, driven primarily by ARPU expansion. We ended 2023 with customers on average utilizing three modules per location, and therefore, have a great runway for growth to expand across our existing 14 product modules. And lastly, given Olo Pay's continued momentum, we are estimating revenue contribution in the mid to high teen millions for the year. As it relates to location, as a reminder, and in line with what we've discussed in prior quarters, approximately 12,500 Subway locations transitioned from the platform in late Q4 2022 and will no longer be included in active location total in the first quarter of this year. For the full year 2023, excluding the impact from Subway, we are modeling 6,000 location adds for the year. In terms of gross margin, we expect a 200 basis points decline year-over-year due to Olo Pay's growing mix of overall revenue. This is an expected part of our long-term plan and reflects the strong early adoption of Olo Pay and its strategic role within Olo's mission-critical commerce platform. We believe Olo Pay will be a fast-growing part of our business for years to come and will be accretive to our revenue growth and profitability. Moving on to operating expenses. This year, we intend to continue our investments in sales and marketing to align with the rapid expansion of our product portfolio. 18 months ago, we had roughly a third of the product modules we have today, and we are rebalancing the size and skillset of our sales and marketing organization in order to effectively seize the opportunity ahead. While further investment in sales and marketing is needed, we plan to retain our strong sales efficiency. Additionally, as a reminder, our annual user conference, Beyond4, will occur in Q1 this year, which will result in higher marketing expenses of approximately $1.5 million in the first quarter. In terms of research and development, we anticipate increased leverage as the year progresses and on a full year basis. In terms of general and administrative expense, we anticipate increased leverage on a full year basis as we continue to scale the business. All said, we expect our combined revenue and expense target to yield a modest improvement in operating margin for the year. Philosophically, we have always been focused on balanced growth and efficient investment in the business. We believe that has served the business well over time and it is how we are approaching 2023. Our investment plan this year takes into account the rising cost of capital and the macro environment, which is reflected in the OpEx leverage we expect to gain in 2023. With that, I'd now like to turn it over to the operator to begin the Q&A session. Operator?
Operator: Thank you. And at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Gabriela Borges with Goldman Sachs. Please proceed with your question.
Gabriela Borges: Hi, good afternoon. Thank you. Noah and Peter, I wanted to better reconcile your macro comments with the guidance. The slowdown that you're forecasting in 1Q '23, are you already seeing signs of a slowdown in your business in terms of customer willing to invest or deal closure, the deal delays? Just want to understand the implied growth in 1Q '23 [indiscernible], which is the quarter that you just reported.
Peter Benevides: Yes, Gabriela, I can take that. This is Peter. Thanks for the question. So, one of the things we talked about in the second half of last year was a dynamic in which both sales cycles and deployment cycles were elongating. And part of the reason for that was that some of the things that the industry was working through in the form of labor constraints and increase in commodity costs, et cetera, that really caused them to turn their focus to dealing with those pressing issues. We have seen some improvement within the industry with respect to those dynamics, so unemployment improving, commodity costs improving et cetera. But when we thought about our plan for the year ahead, we wanted to put forth a plan that we felt was more prudent despite maybe some of the positive signs we're seeing in the end market. So, for both ARPU and active location counts for next year, that was the lens from which we built the plan. And what you're seeing in the first quarter is really the outcome of some of the elongated deployment and sales cycles that we talked about late last year, and then in the back half of the year, what you're seeing is a re-acceleration of growth as the things that we did book begin to deploy.
Gabriela Borges: Okay. That makes sense. And then the follow-up would be on the guidance for margins relative to your comments on balancing growth and profitability. So, with the forecast that you're giving for revenue, if you take a framework where you're looking at combined revenue growth and profitability of some kind of Rule of 40 framework, it looks like the combined profile of growth and profitability is moving backwards. In other words, based on your revenue forecast for this year, I would have expected to see more margin expansion. So, maybe just a little more detail, how do you think about leverage this year given all the comments you just made on the forecast for revenue?
Peter Benevides: Yes. So, I think we've done a good job in terms of expanding margins in the bottom-line given the commentary that we shared from a gross margin perspective. So, as Olo Pay becomes a larger portion of the revenue mix, that will have an impact on gross margins. And what we've done this year is to balance that dynamic by increasing leverage in R&D and G&A, and having some offset in sales and marketing knowing that that's an area that we want to invest in given the expansion of the product portfolio and the opportunity ahead. So, I think we've done a pretty good job in terms of being able to expand operating margins despite gross margins declining in the near-term.
Gabriela Borges: That makes sense. I'll ask one more if I may, which is, I think you've talked last time about the opportunity for more AI, automation in some of the ways that customers interact with their products. Would love to get an update there on some of the things you're working on. Thank you.
Noah Glass: Thanks for the question, Gabriela. I think that there is clearly a larger digital transformation that is happening in the industry and what we've been witnessing for 17.5 years now. And part of that, certainly in recent months, has been a focus around automation and AI specifically. I think our perspective is, all this digital transformation, inclusive of artificial intelligence within restaurants, is a great thing if it can make the operator experience better, it can make the operation more profitable, and at the same time, it can up-level the guest experience, it can make the guest feel greater hospitality, not less hospitality. And so that's how we sort of think about areas where we can apply automation and digitization in our business. How can we do things like yield management and capacity management in the kitchen to make the kitchen more productive and to better set expectations of when orders will be ready based on AI and machine learning, so that the guest is coming in and getting their food fresh and ready or that a delivery driver is coming in and getting the food fresh and ready. We love the idea of using that automation, but not sort of throwing the baby out with the bathwater and losing some of the warmth and hospitality that guests love about restaurants. I think put together, we see the opportunity for all of this digital transformation to drive greater hospitality, not less.
Gabriela Borges: I appreciate the detail. Thank you.
Noah Glass: Welcome.
Operator: Our next question comes from the line of Clarke Jeffries with Piper Sandler. Please proceed with your question.
Clarke Jeffries: Hi, thank you for taking the questions. First on the grocery store opportunity, I wonder if you could give a little more detail on how that opportunity may be different in terms of sales cycles? I would imagine much more unified customers rather than disparate franchise customers. What opportunity do you see actively being available today in terms of how they are providing digital ordering? And then, what could be the future for maybe working with grocery delivery partners, say like an Instacart or other kind of marketplace vendors in that space?
Noah Glass: Clarke, thanks for the question. I think this is an exciting new vertical for us. It's something just reflecting back on the very early days, although we always thought restaurants are the first vertical, they are not the only vertical for what is fundamentally an on-demand commerce platform. So, obviously, we've taken what we've built initially for restaurants. We've expanded that in past quarters into the C-store space to the extent that you have convenience stores operating fresh food programs. As a reminder, there are about 55,000 of those around the country. Now, we're seeing expansion into the grocery space, again, with fresh food programs, with food that is prepared made to order, but also importantly with flowers, with a floral department. I think that's a good representation of another product category that shares some of the same characteristics as prepared food. It's highly perishable, made to order, just in time, and that's really what our platform was designed to do, unlike some other traditional e-commerce platforms. So, with regard to sales cycles, I think your commentary is right, these are usually larger grocers, more consolidation in the grocery industry. We see opportunity when we're getting pulled into providing our platform to augment foodservice programs and other opportunities like this floral opportunity that we saw. In total, we see 30,000 locations within grocery that are addressable for Olo. And if we look at the Technomic data and see how much prepared food spend in the areas of those 30,000 locations, that's something around $37 billion of prepared food spend. So, that's a great opportunity for us as well. And I think we will always be restaurant-focused and restaurant-first, but if we see opportunities to expand our platform into these other adjacent categories, that makes lot of sense, and if we can serve as the engine of hospitality for them at the same time, that's wonderful. And to your question about delivery service provider partners, of course, we would love to work with as many delivery service provider partners in the B2B sense of delivery service providers and also marketplaces that want to use Olo to access those grocery brands and that's part and parcel with Olo being an open platform and expanding a large 300-plus member integrated technology partner network.
Clarke Jeffries: Perfect. Really appreciate the color. Just a follow-up. On Olo Pay, certainly encouraging to hear the strength there. It seems to be performing above your expectations. I think the word ubiquitous was even thrown around. Is there a way you can help us think about how that is progressing in terms of attach rate on new customers, or if you're seeing a predominant amount of traction within the existing base? And just maybe help us frame, what are the holdouts thinking in terms of what are the frictions to not adopting Olo Pay within customers that you have approached and maybe did not adopt so far?
Noah Glass: We've really been thrilled with what has been broad adoption, as I mentioned. It's not just emerging enterprise, it's also enterprise customers, it's brands like Captain D's and Freddy's and TGI Fridays that are adopting Olo Pay. It's not just existing customers, it's also new customers. And of course, it's also not contained within one segment of the industry. We have casual dining brands. We have quick-service restaurant brands. We have virtual brands that are adopting Olo Pay. So, I think that's why we think about this as something that can be ubiquitous. There are some restaurant brands that have long-term contracts that are in place with existing legacy payment processors, that say, I'm really excited about Olo Pay and all these things that you're able to share about how others are getting value from it. I can't move off of this contract until x date, and I think that's part of how payments works. For many, many others, we have seen an excitement to move over to Olo Pay and use that as a way of making a lower-friction guest experience and also have all the other benefits for the operator of a lower cost of ownership, higher authorization rates, lower fraud rates, et cetera, that Olo Pay has really proven at.
Clarke Jeffries: Really appreciate it. Thank you very much.
Noah Glass: Thank you.
Operator: Our next question comes from the line of Terry Tillman with Truist Securities. Please proceed with your question.
Connor Passarella: Perfect. Thanks, guys. This is Connor Passarella on for Terry. Appreciate you taking my questions. Just wanted to start first. So, you touched on one of the areas of opportunity being the potential for voice AI to displace drive-thru. And I think last quarter, we talked about some important partnerships there. I just wanted to get an update if you're seeing any evidence of that so far? And maybe if you can remind us on the opportunity for drive-thru from a dollar perspective? Any color there would be helpful.
Noah Glass: Sure. Yes. Going back to last quarter, we spoke about three partners that were in the drive-thru voice artificial intelligence space doing basically a replacement of the old-fashioned rolling up to the speaker box and speaking to somebody who is inside on a headset instead of replacing that with voice AI. So, ConverseNow is one of those, Think3 is one of those, and then Valyant AI was another. And I think there's a broad interest from drive-thru operators, largely QSR brand drive-thru operators to think about how they can use digital in the drive-thru. Just by the numbers, drive-thru is the largest segment gained share during COVID and has held onto that share. It now is the plurality of all restaurant transactions, representing 38% of total industry transactions. So, drive-thru by itself is as large by transaction count as both takeout and delivery combined. So, we think that's an excellent opportunity for us to engage with our partners for the ordering. And I'll remind the group that we also have been working at drive-thru for some time now with the drive-thru as a hand-off mode. In other words, a guest placing an order through the app, through the website, and saying, "I want to collect this order, but I don't want to have to get out of my car. I want to be able to drive up to the window, pick up my order, and be on that way." Some restaurant brands have the ability to do that through a second window, which is typically called a fly-thru window, others do it in the traditional drive-thru lane. But that's another way in which digital and drive-thru are coming together.
Connor Passarella: Got it. That's really helpful. I appreciate that. Just a quick follow-up on the Borderless rollout. So, so far, what have you seen from Borderless and the ability to drive demands, and kind of what data are you seeing around customer success in terms of maybe repeat orders or anything success-wise there? Appreciate it.
Noah Glass: Yes. I'd say that the biggest thing that we have highlighted and I'll again highlight on this call is the impact that Borderless, which to remind the group, is around a password-less login that's instead single-factor authentication, so that a guest doesn't have to remember a password, just uses their phone to authenticate themselves. The biggest impact is the number of transactions that are authenticated where a guest is logged into an account and not placing that transaction anonymously. So, we talk about the de-anonymization of transactional data and Borderless is fantastic at doing that. We've gone from where traditional log in, you wind up with only 30% of guests that are saving a card on file and creating an account and known by the brand, to over double that when you're using the Borderless authentication and checkout. So that's a win for the guest. It removes a lot of friction from them. It's not just about accessing payment details, it's also about getting into an account where they have order history saved, they might have delivery addresses saved, et cetera. It's a win for the operator and the brand, because now that order is getting tied back to the guest account and that enriches the profile of that guest and ultimately it helps the brand understand guest lifetime value, which we believe is fast becoming the True North metric for operating a restaurant, and what we're bringing to life with innovations like Borderless.
Connor Passarella: Appreciate the color. Thank you.
Noah Glass: Thank you.
Operator: Our next question comes from the line of Stephen Sheldon with William Blair. Please proceed with your question.
Pat McIlwee: Hi, guys. This is Pat McIlwee on for Steven today. So, encouraging update with Kroger this quarter. And you mentioned some sizable throughput in that segment. And I just wanted to ask, is there a realistic opportunity for payment processing with just some or with all of those 30,000 grocery stores, and then also with the 55,000 C-stores? And if so, have you seen any traction with those customers, I guess, more so on the C-store side for payments yet?
Noah Glass: I think it's super early and we're not kind of beating our chest and saying, "You know, we are full steam ahead into these additional segments." We think these are exciting opportunities for us to pursue and learn from, that's sort of how I would read where we are. Now, Kroger, I think, in the grocery segment and those that we've talked about in the convenience store segments, I think are great calling card deals. They are not representative of Olo Pay lands where we're processing the transaction through Olo Pay. So, I think too soon for us to comment there. But we do believe that Olo Pay is something that is broadly desirable as we talked about the different restaurant segments that have been excited about Ola Pay. I think the same can be said about why it would be appealing to C-store and grocery customers. And we do think that as a component of a larger guest centricity and guest-centric approach that, that holds a lot of appeal to really any merchant to understand that guest and to be able to unlock hospitality in this shift over to digital, and Olo Pay is a big part of that. So, I'd say early, but we do think that that's an opportunity for us going forward.
Pat McIlwee: Got it. Okay. That's helpful. I'm just framing the opportunity there. So, my second one is, you mentioned that customers are now using three modules on average, which is up from 2.7 last year, I believe. And I just want to ask if there are any modules that you identified this year or are worth calling out as particular drivers of that upsell? And in particular, how traction has been with those newer Wisely modules?
Peter Benevides: Yes, I can take that one. So, in terms of what is driving the increase in module adoption, it is the combination of the engagement suite and the pay suite, and then to a lesser extent, things within the core commerce platform, whether that's virtual brands, dispatch rails, et cetera. In terms of the engagement suite, we've been really pleased with the traction we've made thus far. We've hit our revenue goals for 2022, and as we look ahead for 2023, continue to look at that part of the business as overall growth accretive. So, so far so good, and we'll keep pushing on the engage suite. So far so good.
Pat McIlwee: Awesome. Thank you, guys, and nice quarter.
Noah Glass: Thanks.
Operator: Our next question comes from the line of Douglas Bruehl with J.P. Morgan. Please proceed with your question.
Douglas Bruehl: Hey, thanks for taking my question. Maybe one for Peter. Wanted to dive a bit into stock-based comp. So, how are you sort of balancing the long-term management of that while looking towards eventual GAAP profitability? Thank you.
Peter Benevides: Yes. Thanks, Doug. Great question. So, from a high level, stock-based comp as a percent of revenue, we anticipate that coming down in 2023 as compared to 2022. I would say, one thing to keep in mind is you still have share issuances around time of the IPO where the valuation was higher than it is today, running its way through the model. So that will take some time to normalize before what you see in stock-based comp is more reflective of recent valuation and equity grants. That said, the way that we approach equity compensation is really through a holistic lens and making sure that the total offer for our employees, inclusive of comp-based bonus, equity, et cetera, remains as competitive as possible. While at the same time, making sure that we have the right incentives in place that align with the incentive of our shareholders. So that's a little bit about trends in the near-term and how we think about things philosophically.
Douglas Bruehl: Great. That's all from me. Thank you.
Operator: [Operator Instructions] And our next question comes from the line of Brad Reback with Stifel. Please proceed with your question.
Brad Reback: Great. Thanks very much. Peter, maybe we can dig into the fiscal '23 guide a little bit. Because if I -- except the Olo Pay contribution for '23 and '22, it looks like you're guiding to high-single digit core sub revenue growth. So, I'm just trying to figure out what's going on there.
Peter Benevides: Yes, that math is directionally right. I think what you're seeing for the '23 guide is a more cautious approach to the year in light of some of the dynamics we talk about in the second half of the year playing out into 2023. And the thing to point out specific to sales in deployment cycles is you have the initial sale, which then there can be a quarter or two in which that bookings converts to revenue. So whatever bookings impact we had in the second half of last year plays out into the first half of this year. So, really that's what you're seeing in the -- implied in the guide for '23.
Brad Reback: That's great. And then one other. On Olo Pay, as you sort of approach this $15 million to $20 million run rate in '23, is that enough scale to be gross profit profitable? Let's not talk about the margin. Can you generate incremental gross profit dollars at that level?
Peter Benevides: We can. So, we can, and from an operating margin perspective, long-term. As I mentioned before, what really gets us excited about Ola Pay is the ability to be both revenue and profit accretive. And the reason for that is being able to maintain our sales efficiency and increased leverage in R&D and G&A to the extent we can increase our food driven by Ola Pay, our belief is a lot of that will drop to the bottom-line and be very helpful from a profit dollar perspective.
Brad Reback: That's great. Thanks very much.
Peter Benevides: Thank you.
Operator: We have reached the end of the question-and-answer session. I'll now turn the call back over to Noah Glass for closing remarks.
Noah Glass: Okay. Well, thank you, operator, and thank you all of you for joining us again today. We're honored to be in mission-critical platform for the restaurant industry and to serve as the engine of hospitality, helping restaurants drive sales, do more with less and make every guest feel like a regular. Thank you, Team Olo, for your hard work and execution. We have miles to go before we sleep.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.